Operator: Good day, ladies and gentlemen, and welcome to the Full Year Results Conference Call. My name is Crystal. I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the presentation. [Operator Instructions] I would now like to turn the presentation over to the host for today, Mr. Martin Jarosick with CF, Investor Relations. Sir, please proceed.
Martin Jarosick: Good morning and thanks for joining the CF Industries' year-end 2020 earnings conference call. I'm Martin Jarosick, Vice President, Investor Relations for CF. With me today are Tony Will, CEO; Chris Bohn, CFO; and Bert Frost, Senior Vice President of Sales, Market Development and Supply Chain. CF Industries reported this year-end 2020 results yesterday afternoon. On this call, we will review the CF Industries' results in detail, discuss our outlook and then host a question-and-answer session. Statements made on this call and in the presentation on our website that are not historical facts are forward-looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in any statements. More detailed information about factors that may affect our performance may be found in our filings with the SEC, which are available on our website. Also, you'll find reconciliations between GAAP and non-GAAP measures in the press release and presentation posted on our website. Now let me introduce Tony Will, our President and CEO.
Tony Will: Thanks, Martin, and good morning, everyone. Before I jump into our financial results, I want to highlight the entire CF team for amazing execution across all areas of our business. We set all-time company best records for safety, ammonia production and sales volumes despite the challenges that 2020 hurled at us. There was no playbook for how to manage through a global pandemic, yet this team developed and implemented plans to keep our people safe along with everyone who came on to our sites. To date, we have no known transmissions of COVID-19 within any of our facilities. On the safety front, we ended the year with only four recordable injuries and zero lost time injuries across the entire network for the whole year. As is typically the case, safe operations are also more productive and we proved that again with an all-time ammonia production record of 10.4 million tons. Our sales and logistics team rose to the challenge and set all-time sales and shipping records of over 20 million product tons. Truly a remarkable performance by all. Thank you for the great work and keep it up. Turning now to our 2020 financial results, which we posted yesterday afternoon, we generated adjusted EBITDA of $1.35 billion, also terrific performance. Looking ahead, we are very optimistic about 2021. As Bert will describe in a moment, the global nitrogen pricing outlook is much more positive than a year ago. With strong commodity crop prices and significantly higher energy prices in Asia and Europe, we are seeing a robust demand environment, coupled with the steeper global cost curve. The current conditions in the southern plains in Midwest have thrown another crisis at us, but as usual, the team has done a fantastic job responding to and navigating through these new challenges. We have been able to quickly adjust our plant operations based on close communications with our gas suppliers. Disruptions have been widespread across the U.S. nitrogen industry and this should result in further tightening of nitrogen supply for the spring planting season in North America. Additional support for an already strong 2021. Longer-term, we are pleased with the progress we are making on our commitment to the clean energy economy. We continue to advance discussions with technology providers and partners, and we have seen new opportunities develop since our announcement. These underscore how broad the demand for green and low carbon ammonia will and also the value of our unique capabilities. With that, let me turn it over to Bert, who will discuss the global nitrogen market, then Chris will follow to talk about our financial position and capital allocation outlook before I return for some closing comments. Bert?
Bert Frost: Thanks, Tony. Global nitrogen dynamics today, with low-cost producers like CF, are the most positive, they've been since 2014. Strong demand driven by high commodity crop prices and a steeper global cost curve are creating a tighter nitrogen supply and demand balance. As a result, prices have risen significantly in recent months and they're well above 2020 values. Global demand is robust and broad-based. Farmers in North America have seen nitrogen-consuming coarse grains reach multi-year highs for both near-term and futures contracts. For corn, we've seen lower than expected supply and high global demand led by China. As a result, the USDA is projecting that the corn stocks to use ratio for the marketing year will be at its lowest level since 2013. This supports our projection of 90 million to 92 million planted corn acres in the U.S. this year with upside potential. Through the balance of the year, we continue to expect positive demand in most growing regions, particularly India and Brazil. We expect to urea tender volumes in India this year will be well above the five-year average and close to the 10 million metric tons of last year. For Brazil, we project 2021 imports of urea to be approximately 6.5 million to 7 million metric tons similar to last year. As demand was increasing the cost curve steepened significantly. From July 2020 to July - to December 2020, the Dutch TTF natural gas price and the Asian JKM LNG price both increased about 5 times greater than the U.S. Henry Hub natural gas price. This had a number of impacts. First, margin opportunities increased for low-cost producers. Second, the significant increase in energy prices for producers in Europe and Asia pressured their margins, not only leading to lower operating rates but creating demand for import ammonia into those regions. This contributed to an even tighter global market. Over time, we expect the global nitrogen market to tighten further and faster driven by several factors. In the near term, the need to rebuild the stock of commodity crops will underpin demand growth. Longer-term, a key driver will be emerging demand for ammonia for clean energy applications. We believe this level of global demand will require more production from the highest-cost plants until prices rise enough to incent greenfield construction and other parts of the world. We are well-positioned as we approach the spring application season and have the flexibility necessary to address any challenges that arise. We believe that the recent weather conditions in the U.S. or disruption that we built our system to overcome. We were looking forward to working with our customers and leveraging our optionality to ensure that these requirements are met as they make - as our customers make their final preparations for spring. And with that, let me turn the call over to Chris.
Chris Bohn: Thanks Bert. For 2020, the company reported net earnings attributable to common stockholders of $317 million or $1.47 per diluted share. EBITDA was $1.32 billion and adjusted EBITDA was $1.35 billion. Net cash provided by operating activities was $1.2 billion and free cash flow was approximately $750 million. These results reflect year-over-year global nitrogen - lower year-over-year global nitrogen prices, partially offset by higher sales volume and lower natural gas and SG&A costs compared to the year before. The results also demonstrate our continued efficient conversion of EBITDA into free cash. As you can see on Slide 9, we converted more than 55% of our adjusted EBITDA into free cash in 2020, which is the highest rate among our peers. Our free cash conversion continues to support our capital structure and allocation priorities. As we noted in the press release, we have decided to repay early, the $250 million remaining on our senior secured notes that are due in December. This will lower our gross debt to $3.75 billion as we remain focused on investment grade and positioning the company to execute our clean energy growth strategy. We will continue to evaluate opportunities to further reduce gross debt over time. We remain excited to invest in the clean energy growth opportunity given the expected return profile. We will also continue to return cash to our shareholders through our quarterly dividend and opportunistic repurchases at attractive levels. As we look ahead to 2021, I want to share some of our expectations for the year ahead. We anticipate that our capital expenditures for 2021 will be in the range of $450 million. This reflects a return of - to a normal level of planned maintenance and turnaround activities in the year ahead and the first expenses associated with the green ammonia project at Donaldsonville. We also expect SG&A levels to return to a level closer to 2019 than 2020. Our annual cash interest expense will fall to $175 million with the repayment of the 2021 notes. With our planned maintenance schedule and recent gas-driven curtailments, we expect gross ammonia production to be around 9.5 million to 10 million tons. This along with lower inventories to start the year will likely result in lower product tons sold than in 2020. As we indicated in the press release, we believe overall sales volume will be between 19 million and 19.5 million product tons. Additionally based on forward curves, we project our natural gas costs will be somewhat higher in 2021 than in 2020. However, we expect margins to improve this year given the positive nitrogen pricing outlook that Bert described. As you can see on Slide 12, increases in our realized urea price have a much greater impact on EBITDA than higher realized natural gas costs. With that, Tony will provide some closing remarks before we open the call for Q&A.
Tony Will: Thanks Chris. Before we move on to your questions, I want to again thank everyone at CF for a tremendous 2020. Their commitment to our values and unwavering focus on safety and execution are truly the foundation of our success. We feel very positive about the year ahead. As Bert described, nitrogen industry dynamics for producers in North America are the most favorable we have seen in nearly a decade. And longer term, the developing demand for ammonia in clean energy applications provides exciting growth prospects for us where we are uniquely positioned to be a global leader providing clean energy for a better world. Economies will continue to focus on decarbonization and hydrogen will be a key solution with ammonia, a critical enabler of hydrogen as a clean fuel. We have seen tremendous interest in our strategic direction since our announcement last fall and to see substantial opportunities ahead for clean and low carbon ammonia. This will provide a growth platform for longer-term shareholder value. With that operator, we will now open the call to your questions.
Operator: [Operator Instructions] Your first question comes from Chris Parkinson with Credit Suisse.
Chris Parkinson: Good morning. And I apologize for the shorter-term oriented question. But over the past few seasons, especially in '16 and '19, there is a tendency ammonia producers they send a few extra cargos in all of which, at times is a bit disruptive to U.S. prices even mid planting, but this year, that just seem like a lot of the suppliers are indicating they're sold out through at least mid-April and longer in some cases due to global demand elsewhere, which should present, let's say a bit - looking more stability if not an opportunity for U.S. inland prices throughout spring. So just what are your broad thoughts on the different dynamics emerging in '21 versus let's say the past few seasons? Thank you very much.
Bert Frost: Good morning, Chris. This is Bert and a good question because that has been an issue in the past with overwhelming sometimes a positive market. And then we see a correction in April, May or June, and some of those corrections can be pretty wicked like we saw last year, which I would say, it was more COVID related than a risk-off timing, not necessarily as much of a supply situation, but that has been and has happened. But today, I think we're in a different market. I don't see those extra cargoes coming, our imports are running below last year's levels, you also have to look at supply, there has been a number of turnarounds that have taken place in that region and in others that have taken tons offline. And then when you look at the gas costs that have increased as related to North America, and Europe, and Asia and other places that incremental ton that may have come online or may have been operating probably is not. So those three factors plus increased demand in India and Brazil, with Brazil taking additional cargoes in January and February has soaked up a lot of that supply and we still have Turkey and Thailand and a few other countries that are short and we'll need supply as well as Europe. So as we approach spring planting, which are only probably six weeks away, the likelihood of getting that extra cargo in line offloaded and depending on river froze - the rivers that are frozen today falling and the snow that we're experiencing today on the speed of that thaw and river levels and the ability to get those tons into the Midwest, that window is closing very quickly. That is why we are so focused right now with this situation on gas and production of making sure we have adequate supply for our customers positioned in the right place at the right time to make sure that the supply is there.
Operator: Your next question comes from John Roberts with UBS.
John Roberts: In the new Hydrogen Forward Coalition, since you're the only fertilizer participant, do you have exclusive rights to anything ammonia-related and would CF participate in any activities away from your existing facilities?
Tony Will: So the coalition is really about coming together and trying to advance adoption of hydrogen as a clean energy source. In fact, we have no real interest in trying to limit participation by other producers. In fact, I think having adequate supply availability is going to be a critical enabler for demand to develop appropriately. So we're actually working with and trying to support and rally others to develop similar kinds of programs and solutions because I think it will benefit us in the long term, and we're really focused on developing standards and trying to get some movement across policy decisions that are being made, all of which can support demand for hydrogen going forward. In terms of our interest and willingness to participate in projects outside of kind of the four walls of what our current network is, I think we're always evaluating opportunities for growing the business, as long as the return profile looks attractive and as we mentioned in prepared remarks, there has been significant interest and outreach to us in the wake of our announcements last October. And so, I would fully expect us to have a lot of opportunities to continue to expand the types of things that we're doing.
Operator: Your next question comes from the line of Michael Piken with Cleveland Research.
Michael Piken: Just wanted to understand a little bit, you guys stood beyond on your total tonnage expectations for 2021, how much of that was just that volumes got pulled forward from 2021 into 4Q on the strength of the fall season and how much your demand do you think might be lost in the spring because of the big fall? Or are we going to see higher application rates? Thanks.
Chris Bohn: Michael, I'll try to jump in a little bit and then turn it over to Bert. I think the much larger impact is that given the COVID situation last year, we were trying to minimize exposure to our folks by reducing the number of contractors that we had come on our sites. And so anything that we could differ in the way of turnaround activity or scheduled maintenance, we tried to push. And so we ended up with higher utilization of our assets because we did have a couple of very significant turnarounds that we either dramatically reduced the scope of or pushed entirely into 2021. And so that was part of what help set an all-time ammonia production record. So as we look at 2021, we not only have the normal slate of turnaround activity, but also the things that were deferred from last year. So that is by far the largest contributing factor to the reduction in tons available for sale this year. As you're aware, we run the plants 24/7/365. And so, if you're - we over the course of the year, pretty much produce what we sell or we produce and sell in the year that has more turnaround activity, there's just less production available. There is a little bit impact in terms of starting the year at a lower inventory position than we were last year, but that's the small end of the stick, not the large.
Bert Frost: Regarding the fall season, we did have a very good fall ammonia season and overall, good Q4 with volume and movements for each of the products, and that was on purpose. One, the weather helped, but when you look back to the lost time or several years where we had good fall seasons '12, '13 and '14, we also had extraordinary spring seasons and what we're projecting now or today for acreage amongst the nitrogen consuming crops, it's going to be high, and I would say higher with probably additional application for yield just due to the price - the attractive price structure that is available to farmers today. So we're anticipating a very healthy spring. I think also you have to remember, we have been in a COVID environment and our focus has been on the safety, well being of our employees, but also making sure our customers receive their product on time as well as making sure we can move that product, and so as we are looking to the spring into Q1 with this projected polar vortex which was projected to come, we took the prudent action of moving additional tons out in December but as Tony said, we will be well prepared for spring and have that supply available and anticipate a pretty healthy spring.
Operator: Your next question comes from Joel Jackson with BMO Capital Markets.
Bria Murphy: This is Bria Murphy on for Joel. Thanks for taking my question. From a capital allocation standpoint, be on paying down the $250 million in debt, should we assume buybacks will be less prioritized as you build dry powder for green ammonia projects later this decade? Thanks.
Tony Will: Yes. I think, in the past, we've looked at investing it back in our business at higher return projects. And as we look at our return of capital to shareholders, the one thing that we're looking at is being a little bit more opportunistic at what level we'd go back in and repurchase building a little more dry powder. Additionally, having probably a more measured approach both to debt reduction and capital allocation back to shareholders. If you look at the past year, our share prices swung quite a bit from $19 to where it is now at $45. So the way we look at it is we see some pretty good opportunities in which we could go in if we have the capital on our balance sheet in order to do that. 
Operator: Your next question comes from Adam Samuelson with Goldman Sachs.
Adam Samuelson: Yes. Thanks. Good morning, everyone. I was hoping maybe a little bit more color, Bert, Tony, Chris, on the kind of the market environment last week, in particular with the spike in gas in North America and just the impact that not only just on your own operations but what do you think has happened to the industry as a whole, especially in the parts than the plans and in Texas that might not have gas? And how much product do you think might - how much production domestically you might think be lost just with the last days and gas prices where they are?
Tony Will: So Adam, I'm going to let Bert do most of the talking here but because he is not going to do it, I'm going to sing his praises a little bit. Bert runs the gas procurement organization and they made some great decisions in terms of basis hedging for us, so that while the cost in local markets blew out like crazy, it really didn't affect us dramatically given that we had already hedged basis off of Henry Hub. But in terms of gas availability and ongoing kind of impacts and loss production, I'm going to turn it over to Bert and let him talk about those things.
Bert Frost: Yes. Thanks, Tony. Regarding last week, it's been an exciting, I'd say, six to eight weeks when we saw the first week in January, pricing go up for products and that was more of a demand-driven surge and then we had the gas limitations in Asia and supply curtailments made it a supply-driven market and then we got to this week where our own gas situations. And so, we did gather as a group, we did with the benefit of our team, I think is we're small and we've been together for a number of years and we work very well together and we could ascertain and communicate very quickly what was going on and make some decisions around the plants and around what we were going to do with our gas positions, but it's still an evolving situation with what plants are down, what plants are operating and when they will come up. But I think you hit the nail on the head is the impact. And so we've been trying to run those numbers both internal and external, and that's not too difficult to do. And there have been a number of plants that have been on turnaround that have extended those turnarounds unrelated to gas. And so the lost production tonnage on an ammonia basis is probably several hundred thousand tons. And then when you take that to upgrades, you're probably at many several hundred thousand tons. But we're still in this situation, it is still very cold in Kansas, Oklahoma, and Texas and these plants if they were not shut down appropriately will not come up appropriately. And I think that's where you have can have some confidence with CF and our production team and a shout out to them of how we manage that process and communicate and do it safely, but we have been also purchased urea, so when all those came together, there was again back to taking care of our customers and meeting our commitments, we have been active in the market and buying an appropriate amount of tonnage to make sure we're ready once things open up again.
Tony Will: And I think the other piece around purchasing urea as it gives us tremendous flexibility in terms of the product mix that we end up producing at Donaldsonville because we've got an ability to basically take all of Ammonia 6 into granular urea or run full on UAN, we've got huge kind of operational flexibility and the plants, for us anyway, that were impacted by this weather, have been our Oklahoma plants principally which are - which tend to be more UAN driven. So the purchases of urea that Bert talked about not only provide cover there but gives us a lot of flexibility to think about running diesel at a higher UAN mix maybe than we have in the past in order to backfill, for us anyway, any kind of disruptions, but I agree with Bert. I think none of the plants to note in that area will have steam tracing or other kinds of cold weather protections in place and you could see disruptions from some of those plants that could extend weeks or months. So the tightening of North American supply could be noticable in terms of outages as a result of the weather.
Operator: Your next question comes from Steve Byrne with Bank of America.
Steve Byrne: Tony, when you have talked about the longer-term opportunities for green ammonia, there has been multiple legs to that stool and would be curious to hear your view on which of those various end markets would you see is likely having the most potential, whether its ammonia as a fuel blend for ships or as a fuel blend in power production? Curious, how those discussions with prospective customers are going. And given your electrolyzers won't be on stream for a couple of more years, do you see it as likely that you will have sales of either gray or blue ammonia to those customers in the interim?
Tony Will: Yes, Steve. So I actually think that we will likely be producing what we're calling blue ammonia, which is ammonia that we produce by conventional means where then the resultant CO2 is captured and sequestered before we produce our first ton of green ammonia. Because I think where we're not that far away from being able to produce blue ammonia through carbon sequestration. And I do think one of the things that we've talked a lot about both at the Hydrogen Council and also within hydrogen forward is the notion of transition and improvement and so using gray ammonia or conventional ammonia as a way to get momentum toward reducing overall carbon emissions is significant. And then as you transition gray ammonia to blue and green, you get further benefits. So I absolutely believe that some of these applications, including Houston power plants will begin with conventionally produced ammonia gray ammonia transition quickly to blue, and then ultimately end up in green But I don't really think that there is kind of one sector where we're putting all of our chips. I firmly believe that hydrogen is going to represent a significant portion of the energy deck across many, many industries, including some very hard to abate industries like transportation and heavy industry. And in those applications in particular ammonia plays a really, I think a starring role, but you've seen announcements just this week from Maersk, and others. So initial applications are very much going to be I think utility and energy use shipping and transportation fuel. And we're also getting a lot of interest in terms of low carbon inputs into the farm because we are a big believer as are many people that carbon sequestration in the soil is going to be available to growers. And if you have a lower carbon input, there is significant value there for the farmers. And so when we can produce blue ammonia for, basically the same cost structure as conventional that provides real value to a farmer. So I think we're going to see demand for these products not only in industrial and transportation utility areas but also in our traditional core market of agriculture.
Operator: Your next question comes from Ben Isaacson with Scotiabank.
Ben Isaacson: Thank you very much and good morning. Tony, when you think about the growth of really any new energy technology over the past decade, whether it's EV or ethanol or wind or solar, they've all required significant government support at either the federal or both the federal and the state levels. Where are you getting support from the government right now in terms of green ammonia, whether it's through subsidies, tax benefits, accelerated depreciation? Can you just talk about where that is right now and how that will help accelerate the growth of this market?
Tony Will: Yes. So, currently, there are the 45Q tax credits that are available. There is also some dollars there being freed up for R&D funds, but a lot of the subsidies that existed for solar and wind are not in place to the same extent yet for hydrogen. So we would expect there to be further support and helping to develop and augment this industry and frankly, the other piece that will really I think be strong support for development and implementation of hydrogen and as a fuel is going to be, if we put in place a cap and trade or a carbon tax, more of the stick side of the equation as opposed to the carrot side because I think the minute you start providing not only economic incentives for people to shift but real pain, if they don't, you'll see a much quicker migration. So we're very hopeful with the new administration that there can be a firm commitment around putting in place a real cost of carbon because I think that that just accelerates the adoption and movement towards hydrogen and low carbon ammonia.
Operator: Your next question comes from Mark Connelly with Stephens.
Mark Connelly: We've started to hear a talk again about China export duties, which used to be sort of a regular thing but not for quite a while. I'm just curious what your people are saying about the probability of that?
Tony Will: Yes. When you look at what's going on in China producing between low 50s to 70% operating rate and coming with 50-50, let's say, 55 million, 56 million metric tons last year exporting around five, majority of that to India and some of the South American countries, but we see, again with high-cost gas, Asia peaked to probably in the low '20s has since fallen back to $6 to $7. One, they're going - if they're going to operate those gas and coal plants, where the coal is all sort of a higher level, it needs to be at these levels. So we have seen them position but small amounts. Right now, we don't see them aggressively pursuing export tonnage whereas if you go back several years when they were overwhelming the market, they were exporting over 1 million tons December, January, February, that's going to be minimum in this year. And so that further supports what we've been saying about the supply and demand balance. We're projecting that China will be in that similar range around 5 million tons and it will be interesting for this India tender that we expect in the next few weeks to see what level of participation they will have but they're are bidding four exports to date at a fairly aggressively high level.
Operator: Your next question comes from the line of Jonas Oxgaard with Bernstein.
Jonas Oxgaard: Your slide on your utilization versus competitors is intriguing. And I have a two-part question if you don't mind. First, could you just touch on what is the differentiator? And as a follow-up, I mean, what does that suggest that there is a value proposition for you guys to consolidate this industry, not just for consolidation, but simply to run other plants better?
Tony Will: Good morning, Jonas. So I think the - what I would attribute it to is a couple of things, one of which is culture. So we have very much a culture in our facilities of not only as I talked about during my prepared remarks, safe operations but that also translates into very productive and efficient operations. And part of that means, at the first sign of any issues, we go ahead and take plants down and do preventative maintenance or maintenance on them as opposed to run till they break and then try to fix on which break-fix as a poor operating model in these kind of plants. We've also deployed a lot of predictive technology and algorithms to help us to identify issues well before they begin whether it's bearing vibrations or small changes in heat profiles. And so what we'll end up doing is, for instance, taking the back-end of a plant down, cooling it off a bit. keeping the front-end hot, making some minor maintenance fixes and then getting back into the loop without losing significant production where it allows us to hit the kind of numbers that you see here on Page 6 of our materials. I think the other thing that plays into it is the scale. Given the number of ammonia plants that we have that are of similar vintage, we're able to maintain a very efficient spare parts pool that we can move back and forth very quickly between our facilities and get terrific leverage out of. And I think honestly, we can attract terrific talent and have some expertise, whether it's in rotating equipment or in other kinds of areas that is pretty unique to us. So I think it's a combination of all of those things that ultimately drive the significant difference in capacity utilization and asset utilization you see on Page 6, and I think you know those things absolutely are leverageable and can be transferable to other assets. One of the things we've seen with the Terra plants that were acquired back in 2010 is that they did take a while to - for us to invest in maintenance procedures, change culture, get the right approach from an operation standpoint, but they're producing every bit as efficiently now as the historical Medicine Hat in Donaldsonville CF plants were. So I think it absolutely is transferable, scalable and a real value prop that we bring, if not overnight, there is a fair bit of investment in order to change culture and so forth, but I do think that's one of the things that we look at when we're evaluating synergy potential, which is what kind of asset utilization could we ultimately expect to get out of some new equipment as opposed to how it has historically been running.
Operator: The next question comes from Andrew Wong with RBC Capital Markets.
Andrew Wong: Just starting to enroll in a low carbon market aside from being a producer, what other roles could CF play as the market kind of develops over the next five, 10 years?
Tony Will: Yes. In addition to production, our network of terminals and other assets whether it's railcars, barges or docs and shipping infrastructure, allow us to play a pretty significant role. I think in terms of logistics and transportation and storage, right now, we don't view ourselves getting too far downstream in terms of actual sales of hydrogen or retail that type of thing, but I think the - sort of the production transportation, wholesale, which is the sweet spot of how we operate our business from an ag perspective certainly fits within that framework. And while I wouldn't take priority, take anything off the table if it's something we can do and do well and bring value to, we'll consider it. One of the first things that we're really focused on today is helping to develop a set of standards worldwide that I think, allow for the adoption in migration into hydrogen and clean ammonia because we've done poorly or improperly that could really be a deterrent for the development of these technologies and so we're working very hard with a number of different organizations to make sure that the right kind of standards and approaches are adopted.
Operator: Your next question comes from Duffy Fischer with Barclays.
Sean Gilmartin: This is Sean Gilmartin on for Duffy this morning, and thanks for taking the question. Just wanted to get a sense on China grain demand has been historically strong, kind of particularly on the corn side, and so has been a bit difficult from our end rates a difficult to triangulate what is happening in China. So I just wanted to get a sense from your standpoint, is this level of demand out of China sustainable/will persist through 2021 and kind of if so what in your view will drive that strength? Thanks for the color. Appreciate it.
Tony Will: When you look at China, they really haven't been that big of a participant in the feed grains market to the degree that they are or they did last year and now we're seeing them stepping in and buying incremental ethanol, which is helping the system at least our system operate more efficiently and move product around. So with the rebuilding of the hog herd that needed to take place after that Asian swine flu swept through China and decimated the production of pork, you're seeing a rebuilding take place and they drew down there in the property last several years, drew down that stockpile that was there. We were never sure. But we believe that that it was drawn down to a very low level. So that - those two coupled together accelerated demand for U.S. corn, which was just kind of fuel to the fire for the U.S. system and we do see that continuing into and through 2021 and beyond. The corn yields in China are not as healthy as United States or other places in the world, and the price level of being able to import corn from the U.S. or Brazil is still very profitable for the Chinese trading houses and processing groups. So on an economic basis, it will continue and then on a demand basis, I think also, they are going to need to.
Operator: Your next question comes from Vincent Andrews with Morgan Stanley.
Unidentified Analyst: This is [indiscernible] on for Vincent. Thanks for taking my question. Sorry to come back to maybe your order book for the spring to the degree, maybe it's so forward and at what prices you look forward?
Tony Will: Yes. When you look at Spring, it's been an - obviously, like I said earlier - in some earlier comments we've seen just an explosion of values in January and carrying through February, and we expect that to continue through spring. And the CF, kind of how we manage our order book is we are selling forward, you have logistical assets and plans to operate, so you need to have a forward book on that's adequate, we think we manage it appropriately because we did believe that there were values out there that would be attractive for us to secure and safe to sell in the spring market and that has happened. And so I like where we're positioned. We are now in the process of logistically moving our tons by pipeline, barge, rail and truck into position at our terminals, we have agreements with our customers in place and we have opened tonnage available to sell and we'll probably be active in the market in the next several months as we get through planting season.
Operator: Your next question comes from Rikin Patel with Exane.
Rikin Patel: Thanks for taking my question. You mentioned the other day, that global demand currently requires more high-cost production. I'm just curious in the long term, what sorts of urea price you think will incentivize new Greenfield capacity in low-cost locations like North America?
Tony Will: Well, I don't know that I would necessarily classify North America as a low-cost location. I think it's low-cost from the standpoint of variable or operating costs from a gas supply standpoint, but that there are significant capital cost challenges with constructing new facilities in North America and at some levels of capital and it doesn't matter whether the gas is free, you're better off building the plant someplace else. So the place where new capacity is currently being added are the regions that I would expect kind of the next round to continue to see additions. So you're talking Nigeria, Iran, Russia, those are places both with plenty of supply of natural gas, where you can do contract at OSTK, kind of construction. And if you can bite off the political risk, I think that's where you will likely see the new construction happening. But we would expect pricing needs to be kind of $300 plus for a full year to really provide that sort of incentive and depending upon leverage rates and so forth, maybe a little bit lower than that, but at $300 ammonia based on what construction costs are in North America, you just can't make that math work. So again, I think you're going to see additions, other places before you see it here.
Bert Frost: I think there are additional steps to take, it's not just building a plant, it's secure gas and what Tony mentioned is secure political environment. When you look at - in South America, Venezuela, Brazil, Bolivia and the Mexico assets, even though they're older, none of those are operating and they probably won't. They were built in the wrong place where they don't have gas supply that coupled with what's happening in Trinidad and some of the places in Asia, building a plant and operating it, these are long-lived assets, and it should be like ours operates 30, 40, 50 years and many of these are less than 10 or 20 years old and are not operating. So I think that is the challenge as an investor, where are you going to build, and how are you going to move it and how long will your asset have a payback.
Operator: Ladies and gentlemen, that is all the time we have for questions for today. I would like to turn the call back to Martin Jarosick for closing remarks.
Martin Jarosick: Thanks, everyone for joining us and we look forward to speaking with you at the various virtual conferences that are coming up over the next few weeks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.